Operator: Good day ladies and gentlemen and welcome to the Q3 2015 Minerals Technologies Conference Call. At this time all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Rick Honey. Please go ahead.
Rick Honey: Good morning. Welcome to our third quarter 2015 earnings conference call. Before we begin the call today I’d like to point out that today is the 23rd anniversary of Minerals Technologies and over those 23 years the company has generated nearly 10% compound annual growth rate in earnings. So today our Chairman and Chief Executive Officer, Joe Muscari will provide some insights into MTIs performance and then he will turn the call over to our Chief Financial Officer, Doug Dietrich, who will give you a detailed report on our financial results for the quarter. But before we begin, I need to remind you that on Page 8 of our 2014 10-K, we list the various factors and conditions that may affect future results. Statements related to future performance by members of our management are subject to these cautionary remarks and conditions. Now, I’ll turn the call over to Joe Muscari. Joe.
Joe Muscari: Thanks Rick. Good morning everyone. And Rick, that’s a great note to mention the 23rd anniversary, that’s a great note to start this call off with. Today, we are going to deviate a bit from the normal focus and format of my remarks during these calls and spend a few minutes discussing some areas that have surfaced as concerns from a number of you. Over the last three or four weeks, Doug Dietrich, Rick Honey and I have met with over 30 of our top institutional investors, representing nearly 40% of our shareholder base. The concerns and questions that were raised centered primarily around China and MTI’s growth initiatives there. The oil and gas industry and its impact on our energy services businesses, as well as the steel industry’s outlook with its further potential impact on our Refractories business were other areas of concern and questions. To start with, let me first say that MTI’s fundamentals have not changed and the growth potential for the company as reflected in our 2020 targets presented at our June 30 Analyst Day conference remained basically intact. The acquisition integration synergies continue to remain on an accelerated track. Our market positions and our key growth areas are holding or improving. Transformation process of the former AMCOL to becoming one company with MTI continues to go very well. The additional acquisition growth opportunities created by the merger are still in place and our R&D new product pipeline remains very strong. We certainly have our challenges at the moment, but as I said, we don’t see them having much of an impact on our ability to grow. The China slowdown for instance has given rise to concern over our longer term prospects there. However, our two major growth trajectories in China are centered in Paper PCC and Metalcasting binder systems, both of which represent substitution strategies that are relatively independent of GDP growth and the respective growth rates of the Paper and Foundry industries. Our market penetration growth rates for both of these product areas are based on fundamental economic value propositions with limited correlation to the overall country growth rate. Both cases we are penetrating these very large industries by helping them move up the value chain and become a more competitive lower cost. But before getting into further specifics on this topic, let’s put the past 15 months in to perspective and quickly look at some fundamental measures that help to frame our current position. As you can see from this slide, the acquisition has been highly accretive; 80% growth since 2013. The company’s earnings per share has increased from $2.42 in 2013 to a forecast of $4.30 in 2015. This has been accomplished in spite of the downturn in oil and gas with a commensurate loss of significant revenue from the energy services business. The drop in the steel industry and resulting impact on our Refractories and more recently the China growth slowdown. Looking at it from another fundamentals measure, EBITDA, we’ve been able to raise EBITDA from $171 million to $384 million, while EBITDA as a percentage of sales has improved from 16.8% pre-acquisition to a current trailing 12 months ratio of 20.4%. This puts MTI in the higher tier of comparable companies when looking at grouping such as S&P midcap materials or specialty materials peers. With these as backdrop, let’s go back to the China growth question and see if we can provide some deeper understanding around why we believe that will continue to be successful there. This slide outlines the rational for the growth of our Paper PCC business in China. Our 2020 target is to increase PCC sales by $220 million, by adding 1.5 million metric tons of PCC sales there. We have three strategic initiatives for the Paper industry in China; the first is increasing the penetration of PCC in Paper. This includes introducing our higher value PCC products at paper mills, replacing other pigments such as ground calcium carbon. Secondly, our new technologies of new yield and fulfill will drive additional growth and our new yield which we recently launched successfully at Sun Paper converts a paper mill waste stream into a usable pigment for paper filling. The FulFill technologies allow paper makers to increase the amount of PCC in paper, thereby reducing the amount of higher cost fiber. And our third trust centers on entering a new market application, packaging, where we will be producing Coating Grade PCC for containerboard. Right now 1.4 million tons of the 17.5 million tons of paper produced in China are filled with PCC, of which we have nearly 60% share. Over time, as been the case in North American and Europe, paper makers will replace other fillers with PCC, because PCC basically gives customers the ability to produce brighter, higher quality paper, but at a lower cost. Looking at what’s happening in China today, our PCC sales increased 52% in the third quarter over last year and are 34% higher this year-to-date. For the last two quarters Paper PCC volumes worldwide increased because of our new satellites in China, despite the continued secular decline in paper production in North America and Europe. And we see that growth will continue to grow as we are currently ramping up two new satellite PCC plants there and plan to start up three more next year. At the end of next year we’ll have 10 satellites plants in place and operating. Our new opportunities for PCC satellites are also still very robust as we are in discussions with more than a dozen paper markers there. Now let’s move on to Metalcasting. Our growth strategy for the Metalcasting Industry in China where we supply Greensand Molding products and technology to the foundry industry is similar to that of PCC; penetration through substitution. We are targeting $55 million in added sales in China by 2020 and we expect to achieve that by providing the Chinese Foundry industry with higher value products that save them money. Again, an economically driven value equation that underpins our growth rate targets and which will occur independent of the foundry industry rate growth. Let me explain. The current market, Chinese Foundries buy bulk bentonite and blend their own Greensand Mold formulas with a variety of materials such as Seacole and Binders. MTI produces an engineered, premixed package of Greensand Bond solutions for ferris casting operations that reduces scrap and increases foundry throughput. In the United States for example 90% of the foundries use these pre-blended products and it’s also where MTI has a very strong position. As China moves up the competitive value chain, and the consolidation of foundries there continues, the market will move to the higher value premix blends as well for their casting operations, because it saves them money. Although we’ve seen some impact on our current mental casting business this quarter from the recent slowdown in China, and Doug will review this further with you in a few minutes, the long term economically driven forces will foster conversion to a premix bond solutions. Let’s also now take a look at the growth in pet care and fabric care. Two businesses in our consumer products line where we also plan to grow in China and which has become a more significant part of our product portfolio since the acquisition. In June we established a $30 million growth target for our pet care business that will follow MTI’s basic growth strategic architecture of geographic expansion and new product development. And as we think about pet care in China, you can see from the chart at the top right, the number of domestic pets, historically increases as GDP expands and living conditions improve. In this case we are looking at just cats. As we related to you at our Analyst Day, China has a relatively low number of cats and offers significant potential for growth as consumer spending grows. An area by the way that China has been paying more attention to through various forms of simulation. New products also play an important role in our growth strategy here as we are rolling out a new lightweight cat litter around the world. Last quarter we began to supply major US retail chain with our lightweight litter under their brand name. These initiatives have resulted in a 10% increase in sales year-to-date and we experienced 15% in the third quarter. Fabric care has also done very well in China and overall in Asia where there has been a significant increase in the use of washing machine as incomes have improved and the middleclass rapidly expands in the region. In the third quarter fabric care sales increased 76% is Asia with China leading the way at over 100% on a year-over-year basis, and sales have doubled in the region over 2014 year-to-date. So to summarize, near term we do expect to see the effects of a China slowdown, primarily centered in China and limited to our Metalcastings business. However, we also expect to see continued growth near term in our other product lines there. Further, the longer term targets that we set remain very much achievable. With regard to the concern around our service businesses, Energy Services and Refractories, both are under pressure right now as you know. We don’t expect industry conductions to improve materially in the near term. Energy services which now represents about 9% of MTI sales have been hit the hardest as a result of the oil price decline; a 52% drop in sales. Doug will also go into a lot more detail on this segment in a moment as well. But as we look forward here, which frankly is a bit difficult in terms of determining where oil prices will go. But we do expect to maintain a minimum level of profitability and we will continue to make whatever adjustments are necessary to do so. I should also mention that we actually do see some new international offshore opportunities in filtration, which we are pursuing very aggressively. In Refractories the global steel market remains weak, but steel utilization rates have somewhat stabilized and despite these conditions we continue to deliver double digit operating margins as a result of our ongoing efforts to control costs and then improve productivity. The Refractories product line delivered 10% productivity improvement in the quarter through improved efficiencies. As we look forward, we expect basically to remain around these profit levels depending on how utilization rates go. As we look at this quarter, the performance of the company was basically question solid and we expect to continue on a path of solid performance. Our operational excellence leaned initiative which has yielded significant productivity and efficiency improvements is being integrated into the former AMCOL businesses and we are seeing significant indicators of progress. In this quarter for example, the entire company improved manufacturing productivity by almost 10% over last year. Our safety performance has held relatively steady, in spite of all the changes occurring across the company. Employee suggestions is another indicator of a simulation were 27,000 year-to-date. This 100% increase in 2014 has been driven primarily by former AMCOL employees who have submitted over 13,000 suggestions year-to-date. As we look forward, MTI will continue to execute on its major growth strategies of geographic expansion and new product development. The new product pipeline is robust as the acquisition of AMCOL has provided us with many new ideas that have gone into the pipeline for future minerals based innovation. We’ve also begun to again put potential acquisitions on our radar screen, and while our primary focus for the use of cash will continue to be to reduce debt and support our organic growth initiatives, we are actively analyzing new potential acquisition prospects, which would primarily be minerals based entities that have a technologies based approach to the markets that they serve. As I discussed earlier, the fundamentals of the company are very solid. Operating performance, cash flow generation, new product development, market positions, employee engagement, as well as having multiple levers for growth, these are all still in place. Near term over the next several quarters we do expect to encounter continuing challenges in energy services and refractories, but we also expect to continue to deliver solid performance while advancing our growth opportunities. Now let’s turn it over to Doug.
Doug Dietrich: Thanks Joe. Good morning everyone. Now let’s go deeper into our third quarter consolidated end business segment results. Through the remainder of the call I’ll highlight the key elements of our results in each of our five segments. I’ll update you on the progress we are with making synergies, cash flow and debt repayment. We saw some significant areas of growth over the last year, particularly in Asia. Sales for our combined business in China grew 20% over the last year, driven by a 52% increase in Paper PCC and a 6% increase in sales and performance materials, driven by higher sales of fabric care products, which increased 148% over the last year. Outside of Asia we saw strong growth in processed minerals products which increased 5% over the last year and pet care and personal care products which increased 15% and 32% respectively. Operating income excluding special items was $63 million and represented 14% of sales. Four of our five business segments delivered double digit operating margins in the quarter. Year-to-date our operating margin is 14.5%, which is 9% higher than the 13.3% we achieved year-to-date in 2014. I’d also like to highlight that our minerals based businesses continue on a strong track with significant margin improvement over the last year. In perspective, combined margins for these three segments have improved nearly 30% over the last year on a pro forma basis. On the lower right hand side of this slide you can see a chart that I’ve added, which shows our consolidated actual and pro forma sales and operating income by quarter for the past three years. Besides that is a chart that shows pro forma operating margins for the combined company before the acquisition compared to this year. You can see the significant improvement in profitability that we’ve been able to drive over the past several quarters, with our current operating margin 41% higher than the pro forma combined company prior to the acquisition. Moving on, EBITDA for the quarter was $92 million excluding special items, representing 20.4% of sales. Operating cash flow for the quarter was over $80 million and free cash flow was $58 million. We made a debt principal payment of $50 million, which brought our total debt repayment to $240 million over the last five quarters and our net leverage ratio to approximately 2.9. We expect to maintain this pace of debt repayment, which should reduce our leverage ratio to below 2.4 by the end of next year. Also in the quarter, the Board of Directors authorized a $150 million share repurchase program. Now this slide shows our sequential quarterly earnings over the past several years and illustrates the high level of accretion that we’ve been able to deliver from the acquisition. We’ve offset lower profits in energy services and refractories and the negative impact of foreign exchange with accelerated synergies and overhead reductions, as well as through manufacturing cost improvements and productivity increase. Here’s the chart showing the progress we’ve made with capturing synergies and projection for the fourth quarter. We achieved $17 million in savings in the third quarter, which is the level we expected from the last call. As Joe mentioned, integration is going well and we continue to progress according to the plan. Our shared service organization continues to deploy globally with further expansion into supply chain functions. One of the main areas of focus continues to be on IT systems integration, which is also moving forward with the deployment of the Oracle ERP platform to the acquired business. For the next quarter savings will continue to improve and we expect to achieve $18 million for the fourth quarter to put us on an annualized rate of $72 million by the end of the year. Now let’s go through the financial results for each of the business segments and I’ll start with Specialty Minerals. Segment sales were $157 million and on a constant currency basis sales grew 2% over last year, driven by the growth of PCC in China and GCC sales in performance minerals. Within the segment Paper PCC’s underlying sales grew 2% and volumes improved to 3%; the second consecutive quarter of growth for global PCC volumes. Growth in China was particularly strong where our PCC sales grew 52% over last year from our three new satellites commissioned this year, one of which was the successful launch of our new yield technology that converts a waste stream into functional filler for paper. We also announced our 22nd and 23rd commercial agreements for our FulFill high filler technology with one paper maker here in the U.S. and another in Asia. We see our growth continuing in Asia next year, where we will start up three more satellites in China that will add an additional 215,000 tons of capacity by the end of the year. As I mentioned earlier, sales and process minerals were 5% higher than the last year, driven by 7% growth in ground calcium carbonates. Operating income for the segment was $25 million with an operating margin of 16%. Operating margin was near the same level as last year despite the lower sales due to good overhead expense control and a 6% productivity improvement in the segment. Moving onto our outlook for the segment for the fourth quarter, we expect our Paper PCC operating income to be slightly higher than the third quarter. Asia volumes will continue to grow as we ramp up the new satellites in China, but this will be partially offset by weaker volumes in North America, primarily due to the idling of the Versaille paper machines, which will begin to impact our volumes in the fourth quarter. In performance minerals, the fourth quarter is the low point of demand in the year for our end markets and sales are typically 7% to 10% lower than the third quarter. Overall we expect the fourth quarter operating income for the segment to be about $1 million lower than the third. Now let me take you through the performance materials segment. Sales this quarter were approximately $127 million, which is 7% lower than last year. Foreign exchange had an unfavorable impact on sales of 3%. Within the segment sales and metal casting were down 9%, being impacted by the weakness in the U.S. agricultural sector and extended foundry outages in China due to the recent slowdown in the automotive industry. The segment saw areas of significant growth this quarter. Fabric care sales in Asia increased 76% over last year, driven by sales in China which were up 148% due to the introduction of new surfactant granules. Personal care was up 32% and global pet care grew 15%, driven by strong bulk sales with the introduction of our new light weight pet litter formulation. In basic minerals sales were down 12%, primarily due to lower drilling fluid sales due to the continued weak oil and gas drilling activity. Operating income was $22.7 million, which is 10% higher than the third quarter of last year. Operating margins improved significantly over last year to 18% of sales from 15.3%. This performance has been driven by strong sales in household and personal care, as well as a 16% productivity improvement and overhead expense reduction. You can see from the chart on the lower right side, the significant improvement in operating income and margin from the pre-acquisition period. Looking at the fourth quarter, we expect segment operating income to be approximately the same as the third quarter. We see continued strong performance in the majority of the product line. Basic minerals however will continue to be soft due to the current weakness in the energy and steel markets. Now, let us take a look at the results in our construction technology segment. Sales for this segment were approximately $50 million, 28% lower than last year. Within the segment sales and environmental products were 37% lower, impacted by two main factors. First, our sales last year included a number of very large environmental remediation projects, which we did not see again this quarter. Second, we rationalized some of our very low margin products as we began to focus on our newest technologies and higher margin specialty geosynthetic clay liners like Resistex. These specialty GCLs are focused on major global remediation areas such as red mud residue landfills from alumina production, the coal ash landfill opportunities from Power Generation. Building materials which also includes construction drilling products, sales declined 19% from last year, also due to a major building project in California that was included in last year’s sales. Operating income was $6.1 million, representing 12.3% of sales this quarter. The decline from last year was due to the number of large projects I just mentioned completed in the third quarter of 2014. This business has posted double digit margins for the past five quarters. This is due to significant overhead cost reductions, low margin product rationalizations that have occurred over the past 18 months. You can see from the chart in the lower right, the significant improvement in operating income and margins post acquisition. You might also note that sales quarter-to-quarter in this segment are at times lumpy due to the significant size of some of the projects in which we participate and the timing of our sales from these large projects can be difficult to forecast. Looking to the fourth quarter we expect operating income to decrease by about $2 million from third quarter levels. The fourth quarter is the seasonally weakest period for this segment. Now let’s turn to Energy Services. This business had sales of $41 million, which was 52% lower than the third quarter of last year. Our exit from coiled tubing this quarter represented 20% of the decrease. Operating income for the segment was $2.6 million, $2 million higher than what we had communicated on the last call as we began to realize the expected savings in coiled tubing and our offshore service line profits were slightly better than expected. As we indicated on the last call, we took restructuring and impairment charges of $10.5 million in the coiled tubing and other domestic onshore service lines. We expect to incur additional charges in the fourth quarter in coiled tubing, as we negotiate the termination of several large public leases. Operating margins for the quarter were just over 6% despite the significant decrease in sales and the unabsorbed fixed costs associated with winding up coiled tubing services. The chart on the lower right side will give you some perspective on the challenges faced in this segment and our performance managing through them. You’ll see the significant sales decline over the past several quarters correlated to the decline in oil prices which I share was the red line. We acted quickly and removed significant cost from this business in order to preserve profitability given the steep decline in sales. In doing so, on a year-to-date basis we’ve been able to maintain operating margins at near pre-acquisition levels. Looking to the four quarter for this segment, we see a similar level of operating income to the third quarter. We expect to generate additional incremental savings from the exit of coiled tubing as we remove the remaining fixed costs. However, this will be offset by lower well testing sales in the Gulf of Mexico. Now let’s go through the Refractor segment. Sales for the third quarter were approximately $77 million, 14% lower than the third quarter of last year. 8% of the decline was due to the negative impact of foreign exchange. Crude steel production was down over 9% in the U.S. compared to the third quarter of 2014 and both refractory and metallurgical wire sales continue to be impacted by the weak market conditions. Within the segment refractory product sales declined 13% and metallurgical wire sales were down 18%, both driven by lower steel production in North America and Europe, especially in the UK. Operating income for the segment decreased 19% from last year to $7.9 million. Foreign exchange had a negative impact of $700,000 or 7%. Despite the considerably lower sales, the business was able to maintain margins of 10% with a 6% improvement in manufacturing productivity and overhead cost reductions in the segment. Looking forward to the fourth quarter, we expect profits to be slightly lower than the third quarter as U.S. steel capacity utilization rates have declined somewhat from the third quarter to around 70% currently. Also we’ll see lower volumes in the UK due to the closure of the SSI steel facility. In addition, we are not seeing the higher volume of equipment orders which we typically see in the fourth quarter. Before I conclude I wanted to give an update on our progress with debt repayment and deleveraging. This chart shows our debt principal payments and associated net leverage ratio for the past five quarters and what we expect for Q4. Since the acquisition we steadily reduced our leverage every quarter to 4.5 times EBITDA at the close of the acquisition and 2.9 times at present. We expect to continue with the current pace of debt repayments in 2016 and are targeting to be below 2.4 times net leverage for the end of next year. Our third quarter earnings of $1.06 per share reflect a solid performance given the challenges we face this quarter. We delivered strong cash flows, maintained our pace of debt reduction, as well as captured additional synergies. We also managed the exit from the coiled tubing service line and are on track to deliver the targeted savings. In addition we generated significant productivity improvements and maintained very good overhead spending control. I’d like to give one bit of additional perspective to our earnings this quarter. As I indicated earlier, the combined negative profit impact from foreign exchange and energy services and refractories market conditions was almost $14 million or $0.28 per share compared to last year. We’ll see a similar year-over-year comparison in the fourth quarter as these challenging conditions continue. We’ve managed to offset some of this decline with additional synergies, productivity improvements and spending controls in other parts of the company. Let me summarize what we’re seeing for the fourth quarter. Specialty minerals operating income will be around $1 million lower than the third quarter as performance minerals is in its seasonally slowest period. We’ll also begin to be impacted by the idling of the Versaille paper machines and will lower volumes in North America. In performance materials we expect similar operating income to the third quarter with strong performances in the majority of the product lines. In construction technologies we expect operating income to be $2 million lower than the third quarter, as this business enters its slower seasonal period for the construction and environmental markets. For refractories sequential operating income will be slightly lower than the third quarter driven by weaker market conditions. In addition, we’re not seeing the typical fourth quarter increases in equipment orders. Energy services sequential operating income will also be similar to the third quarter, as increased savings from coiled tubing will be offset by lower well testing processes. In total, we expect our earnings for the fourth quarter to be between $0.95 to $1 per share, which is in line with the current range of analyst estimates. Looking further out to next year, we expect to face continued challenging conditions in the energy services and refractory segments. We will realize the full impact of the idling of the Versaille and Domtar paper machines earlier in the year in North America. We do see however overall growth in Paper PCC in 2016, driven by three new satellites coming online in China in the middle to latter half of next year. In addition, we see a solid year for performance materials to grow throughout Asia. In construction technologies we expect to make significant progress with deploying our new specialty GCL products, large global environmental projects. In addition, the continued strong cash flow and deleveraging in 2016 will strengthen the balance sheet to support our 2020 growth objectives. Now, let’s open up to questions.
Operator: [Operator Instructions] And our first question comes from Ivan Marcuse from KeyBanc. Please go ahead.
Ivan Marcuse: Great, thanks for taking my questions. Real quick, when you talk about in the PCC business $220 million in sales target by 2020, is that all? If you were to breakdown that $220 million of sales, how much is just sort of the straight PCC penetration versus the new yield of Fulfill and other new products add onto that or would those be two separate buckets?
Doug Dietrich: Yes, there’s kind of two pieces to that, because sort of the new yield is also PCC. So of the $220 million, I’m going to say about $75 million to $80 million is straight PCC. You’ve got another about $100 million in new yield, but new yield comes in a couple of different forms. We have our first form and then two subsequent forms of new technologies with new yield and then the rest of it is also PCC into packaging. The balance will be the PCC and packaging, so that may not be a coating product, the packaging coating product. 
Ivan Marcuse: Okay, thanks. And then you gave some discussion on the energy business. So, I don’t know, it looks like you’ll make $15 million or so in OI [ph] this year. And then if you were to hold sort of this business – how to think about it as – you talked about offset of well testing. Should you have – should the core business be lower next year and then you’ll get the benefit of $8 million so you’ll have – earnings might be higher or lower per yield. How are the moving parts going I guess is the basic question, in terms of the cost savings versus what the core business is doing, at least for what you could tell at this point.
Doug Dietrich: Hey, right now obviously a little bit hard to forecast as Joe mentioned in his comments. It’s really driven by how the oil industry goes. What we’re expecting, at least in the early part of the year it’s going to be pretty similar to how it is now. We’re probably looking at similar operating income next year depending on how some of the drilling activity offshore holds up. We will get the benefit of some of the savings from coiled tubing, so that will help us. But I think it really depends on how that will be offshore and international locations hold up. We should see some improvement in operating income if they continue along the line that they are now, but that, it’s just a little bit hard to forecast at this point.
Ivan Marcuse: Great. And then I guess [indiscernible] your term in the fourth quarter, I think you’ve talked about free cash flow being sort of in the $300 million range or $200 million and $300 million range. Is that still sort of in the cards and so you would anticipate a pretty strong cash flow, another very strong cash flow in the fourth quarter. Was there any anomaly for last year, because I think the fourth quarter of last year is also very strong? Was that sort of how to think about the business going forward?
Doug Dietrich: Yes, I think you’re referring to operating cash flow. We had kind of forecasted $300 million in operating cash flow, not free cash flow.
Ivan Marcuse: Right, sorry, excuse me.
Doug Dietrich: That’s all right. So we’re kind of close to $300 million. We’re at $195 million right now; fourth quarters typically strong for us. So we should be around that number and with the free cash flow we’re expecting CapEx to come in around the $85 million to $95 million range. So we should have a strong free cash flow year. We did have an anomaly last year, so it probably won’t be as strong as the last fourth quarter. We had a significant tax refund from filing after a post acquisition that we used for debt repayment, so I wouldn’t use the last fourth quarter as a comparison, but it typically is a strong quarter for us from a cash flow standpoint.
Ivan Marcuse: Great. And you’re generating a lot of cash. Again your debt ratio is down pretty quickly and you’ve I guess you put out a release and you’ve talked about this $150 million buyback a couple of times in this past release and presentation. So you had $150 million buyback, but you never really used it all that much the last when you have. So is the strategy going to change at all in terms of how you’re going to look at buybacks going forward or is just this letting people know you have this out there and it’ll probably be used for roughly the same as it was last time.
Joe Muscari: Ivan, the strategy hasn’t changed. We’ve always taken a balanced approach pre-acquisition and now we’ll be, this is post-acquisition to how we use the cash. We do have some current restrictions that I’ll let Doug give you a little more detail on that we’ve got to get ourselves below, about 2.5 from a ratio standpoint. But from a going forward standpoint we’re going to continue to as we look at opportunities that we have. First priorities will be around reducing the debt. However also we’ll look at opportunistic type of things that make sense for the company, where we do have the capacity to buy companies and to the extent those don’t materialize within nearer term horizons, then the potential for buybacks is there, but it’s not – we’re pretty much focused right now as I mentioned in my remarks to reduce debt and support the strong organic growth we have and the requirements for capital there. Doug, you want to add a little bit to that please? 
Doug Dietrich: Yes I guess. And the restrictions – I think we’ve spoken about them before is below three times some of these restrictions lighten up from a credit agreement, and they go away completely below 2.5 times. So we are able to buy back some stock now, those you know to be able to fully execute our share repurchase program would be below 2.5 times. But as Joe mentioned, we are focus on reducing debt as the primary focus and opportunistically look to distribute capital when it makes sense to share repurchase. 
Ivan Marcuse: To that end, why are you targeting a lower debt repayment in the fourth quarter if it’s your strongest cash flow quarter and from where your balance sheet is it looks like you are pretty – you’re fairly flush with liquidity. So why wouldn’t you increase the debt pay down or is there something preventing that. 
Doug Dietrich: First off, the cash on the balance sheet, we used most of our U.S. cash to service our debt and right now we pay trading a lot of funds, so some of that balance sheet cash that you are seeing is offshore. We do bring it home, but we look for opportunities where we don’t have the tax impact, significant tax impact to do so. So we are funding with U.S. cash. It could be a little bit higher than that Ivan. I’m just giving you the $40 million right now is what we are pre-setting the target.
Ivan Marcuse: Great. Nice quarter. Thanks a lot. 
Doug Dietrich: Thanks.
Operator: And our next question comes from Daniel Moore from CJS Securities. Please go ahead. 
Daniel Moore: Yes, good morning. I want to focus a little on construction technologies and maybe you can break it out between environmental products and building materials. Just talk about the pipeline of opportunities, maybe both for Q4, but as we look out into the begging of fiscal ’16?
Joe Muscari: A question around just the robustness of the pipeline or what – in particular. 
Daniel Moore: Precisely. Bidding activity, your expectations for growth be it at Q4 or into early next year. 
Doug Dietrich: Sure. So the challenge with Q4 and Q1 is really is the seasonal low periods. So you are going to see Q2, Q3 the seasonally highest periods. So right now construction activity lines up and certainly breaking ground on some environmental remediation landfill products. It doesn’t happen too much in these quarters. However, the pipeline as I mentioned is pretty robust. We are pursuing a number of different projects around the world. Really targeting as I mentioned in my comments, the higher margin technically differentiated products like Resistex and Coflex in building materials. Resistex is environmental products and those are focused on your major construction areas and major land fields for very touch environments like red mud from aluminum production and pole ash from power generation. You know the regulations that have just come out on coal ash are going to create some opportunities for us. We are just now completing a coal ash land filed with Duke Power. That was one of the projects that was in Q3 and straddled over into Q4 as I mentioned last month. And so we think that’s going to be a big area of focus for us going forward. The pipeline of that is pretty robust, though it takes a long time to secure some of these big projects that’s why it’s difficult to forecast when they are coming up. 
Joe Muscari: And one of the things we look at is the rate of new opportunities that construction technologies develop in the environmental products area, and actually the trend line for that has been on an uptick for the last, I’d say six to eight weeks. So these typically when we look at the incoming opportunities, you are typically looking at things that are six to 12 months out. But right now we are seeing some positive movement there. I’m going to let Patrick Carpenter give us a little more around that, if you would Patrick, please. 
Patrick Carpenter: Thank you, Joe. Yes Dan, we see in major construction around the world, still a lot of market growth for the below grade water proofing where we are specialized in major infrastructure water proofing and tunnel water proofing. Also we have seen an actually uptick in the amount of remediation work, river bed remediation and the use of our specialized [Indiscernible]. So we track these opportunities as they increase and it was – we were branching away from being typically a Northern hemisphere company and developing markets in places in the Southern hemisphere so we can smooth out that quarter-to-quarter revenue. But overall as Joe said, we are seeing a much more increase in opportunity creation and gives us a good projection going forward. 
Daniel Moore: Very helpful, and then switching gears a little bit. Any additional color you might be able to provide at this stage regarding the potential impact of the decision type or so and Domtar to reduce production or capacity. 
Joe Muscari: Sure. The Domtar announcement was made a lot earlier this year I believe, but it’s really a conversion of a paper machine to fluff pulp, so that’s going to impact some of our volumes and I think that conversion is going to start in the first quarter, so I mentioned that. From Versaille though, those are two mills Jay and Windcliff [ph] idling machines. That’s going to start in the fourth quarter. The fully impact will probably be – probably about 50,000 tons will be the full impact if they remain idle in the first quarter. They’ve asked us to keep our PCC Satellite there and in tacked. They are looking to sell that mill. We’ve had that happen before in France with an M-real facility that was solid and that actually ended up coming back in France. So we are keeping our satellite there, but right now we are anticipating that that volume will come out in the fourth quarter and a full impact in the first. 
Daniel Moore: Okay, very helpful. And then just lastly in terms of obviously the decision to exit coil tubing, you have change in leadership just announced recently in energy services. Any additional color around strategic moves there, where they were at – any other pieces of the business that you are considering existing or are you sort of at a run rate of where you want to be post that exit of coil tubing. 
Joe Muscari: Thanks for that question. It gives me an opportunity to talk a little bit about it and Andy Jones, he’s actually here on the call as well with us. Andy comes to us with a very strong background in the energy services arena. He had 20-plus years at Schlumberger; very deep and broad in the international scene for oil and gas and as we look out, as you look out at deep well drilling and activity today and where the opportunities are for us, that is a key strength of Andy, although he is in around many places in his career. But Andy does give us good strength from an international standpoint and that’s something that will be adding in terms of the emphasis we are putting on the business which is the filtration businesses with well testing being a forerunner lead in to filtration business, and as we’ve said earlier, we are basically reshaping the business to concentrate on the filtration business and that also is an area that Andy is strong in. Mike Johnson left. Mike in an entrepreneur. He helped develop the business and Mike wanted to go off and do something else from an entrepreneurial standpoint. So we wish Mike well and we are delighted that we had Andy inside the company and could promote him into the position and happy to have him here. 
Daniel Moore: Okay, excellent. Lastly Joe, M&A since you sort of mentioned it proactively, obviously you are still focused on paying down debt, but what does the environment look like if the balance sheet were closer to two times leverage. There are other opportunities that you are seeing today and what type of multiples are you seeing out there. 
Joe Muscari: Well, the environment is good. In terms of activity going on right now and some of the areas that we kindle things that we are looking at, but if we just look around us in terms of what’s happening, it’s quite active today. Multiples, it ranges depending on the end market segment that the companies are in, that we are looking at. Rather than give you a number, I’ll just tell you, it’s kind of different. They have come off a little bit from where they were and I think in part that’s due to just the general economic outlook around the world with the impact that the China slowing is having on things. So we are seeing a little bit of downward pressure from the multiple standpoint as we look out. 
Daniel Moore: Understood. Thanks. 
Joe Muscari: John you want to add anything to that. John Hastings or M&A head. 
John Hastings: No I would echo the same. Again, we have a portfolio that we continue to look at, small and large geographically dispersed and certainly focused on technology and innovation where we can drive our minerals to market strategy. But as far as multiples are concerned, I think Joe hit it. We see them coming off of some of the highs, but we’ve seen them in recent times and we’ll keep you posted as opportunities develop. 
Daniel Moore: Okay, thanks for the color. 
Joe Muscari: Hey Dan, one quick clarification. That Versaille 50,000 tons I gave you, that’s an annualized number. That’s annualized okay, that’s not the first quarter number. 
Daniel Moore: Right, understood. Okay, thank you again. 
Operator: And our next question comes from Jeff Zekauskas from JPMorgan. Please go ahead. 
Jeff Zekauskas: Hi Joe. 
Joe Muscari: Hi. 
Jeff Zekauskas: I have a question regarding the PCC operations. So you said your PCC volumes were up 3% year-over-year and if I look at total PCC sales, though they were down 6% and presumably currency – like it seems hard to believe that currency was a 9% headwind. So was wondering whether there was a price mix shift?
Joe Muscari: No, there’s some of the – the total PCC includes both Paper PCC and Specialty PCC paper. My comments were referring to Paper PCC volumes. Specialty PCC had some decline and those are particularly specifically in Europe for the most part. 
Jeff Zekauskas: Great, and in terms of the gross margin performance, sounds like there was very good gross margin performance in the first half of the year and then things are now more flattish to down. Is that simply sort of a price issue, is it a volume issue, a currency issue. I was wondering if you can kind of just shed more light on that. 
Joe Muscari: Any particular segment or just on the company in total. 
Jeff Zekauskas: Just for the company as a whole. 
Joe Muscari: Yes, I think there is some foreign exchange impacts that you are seeing year-over-year in some of those numbers. Especially in Refractories we do buy our magnesium oxide and energy services as well as you’ve seen the declines for energy services. We had a lot of fixed operating costs in this quarter in coil tubing. We’ve had to remove both overhead and get the operating cost up. So there has been some uncovered, both overhead and operating expenses in this quarter. So those are probably two of the main factors. 
Jeff Zekauskas: Okay, and lastly what was your headcount at the end of the third quarter?
Doug Dietrich: It was roughly around 4,100.
Jeff Zekauskas: Do you expect that to be lower by the end of next year? 
Doug Dietrich: Well, as we’ve touched on before, we are continuing to deploy the Oracle ERP system and as we go through the year towards the end of 2016, there will be further reductions and not major, but we also have offsetting that, we are adding new satellites to the company. So we are bringing new people on and we’ve added staff, staffing technical personnel, managerial personnel to Asia. So when you net that out, we could be at the same place or very possibly higher. 
Jeff Zekauskas: Okay. Thanks very much. I’ll get back.
Operator: And our next question comes from Rosemarie Morbelli from Gabelli & Company.
Rosemarie Morbelli: Good morning everyone.
Joe Muscari: Good morning. 
Rosemarie Morbelli: And congratulations on the great quarter and the 23rd year, on the 23rd. 
Joe Muscari: Thank you, Rosemarie. 
Rosemarie Morbelli: There is one area in terms of Paper PCC that you have not touched upon and it is India. Is the development in India slowing? Are they done with – is paper no longer growing there? Are they no longer increasing the PCC content in their paper? Can you give us a sense of what is going in that region? 
Joe Muscari: Yes. Actually India is still on a very good track Rosemarie. We continue to do well there. We are actually – there are some additional satellite opportunities for us that we are pursuing. Fulfill further deployment there is still something that we have going. So I’d say, no, the India paper business is strong, continuing to track on a very good growth rate. I’m going to ask Rand to kind of share a little more perspective around that. Rand.
Rand Mendez: Yes, I think the two highlights for India for our Paper PCC business is the expanding technology of Fulfill. Our team has grown there in India. It’s becoming very confident, both technically and from an operational standpoint and Fulfill, the full technology is expanding there. We also have a couple of satellites that are in our pipeline and we are pretty optimistic about those. 
Joe Muscari: The other thing I’d add Rosemarie is that India today for us has a very well developed management team, strong leadership and we’ve set up a lead team that really coordinates and provides critical mass leadership for all the businesses that are in India. Today, we have besides PCC, we have our Refractories business there, our wire businesses there, performance materials is there, construction technologies is there. We are looking to have performance minerals there. So for India – India for us is really a – we’re right in the middle of our radar screen as is China for the further growth opportunities, and most of those areas are tracking very well for us right now. 
Rosemarie Morbelli: Okay thanks. And in terms of the M&A you have touched upon it, but from small to large would you mind defining the optimum size of the bolt-on that you might be looking at let’s say by 2017. 
Joe Muscari: Well, that’s hard to predict. I’ll share with you; we are looking at companies and size from, some are as small as $20 million, let’s say $20 million to $50 million; others are in excess of $700 million and the potential is even greater than that. But I’d say we are dealing within that range and it’s hard to predict today exactly the sizes of the companies that we will be buying in that timeframe. But it’s quite a broad array of different sizes and also different types of businesses relative to some of the end markets. But what is common about the target portfolio today, it is all minerals based with a strong technology differentiating factor in terms of how the companies do business. So it’s something we work as you know from having followed us for some time. These things don’t happen overnight. It’s something that you will continue to work overtime, which is what we have rekindled over the summer as we are coming to the end phases of our integration of the former AMCOL. John Hastings who has led the integration has moved to increasing, let’s say what he does on a day-to-day basis with a higher percentage of the acquisition. So that’s sort of just trying to give you a picture of what’s happening right now. 
Rosemarie Morbelli: Sure. And if I look, however if I look at your positions, before you bought AMCOL you were on a net cash situation type of balance sheet. By the time you start looking at something else you will be at about, let’s call it 2.4 times net leverage. So how much higher and you went up to four and change. How much higher can you get in terms of net debt, net leverage with the $700 million type, revenue type of acquisition. 
Joe Muscari: Right, when we bought AMCOL, if I remember right we were about 4.4, 4.5 leverage ratio right. So again, depending on the acquisition, the risk, the ability to accrete quickly, immediately, what we can do with it after acquisition in terms of synergies, those are all factors that go into what we are willing to take on. I’m going to ask Doug to kind of just share some of his perspectives of this as well. 
Doug Dietrich : Well, I think Rosemarie we’ve certainly demonstrated that we can go to 4.5 times and manage that down very quickly. Going down to 2.2 to 2 times in that leverage opens up significant amount of borrowing, just on our existing $400 million-ish EBITDA, right. So it really depends on the target and the cash flows of the combined entities and the amount of EBITDA from the target and what we can do with it, and how it fits into the strategy and opportunities. So I think at 2.5 times to 2 times we could probably afford a pretty sizable acquisition. That’s not necessarily what’s completely on our target list. We have some smaller ones that we could do with just pure cash right now and we could do in very small efforts that’s in our strategy. So I think it really depends on the target. 
Rosemarie Morbelli: That is very helpful, thank you. And if I may ask one last question, could you talk about the competition on your environmental type of operations. Is it I mean companies offering similar type of lining or is it something totally different.
Joe Muscari: Yes, there are companies with similar linings. We are out now – as we’ve mentioned, we do have some higher performing liner products that came out of product development, that do differentiate from the competition today. Typical companies in this arena Patrice would be what? Companies like that we are great control in terms of building materials by companies. Maybe Patrick, you can give us a little more perspective around this. 
Patrick Carpenter : Yes. When we look at our traditional water proofing business, we’ve got a couple out there that Joe had mentioned, W.R. Grace, those companies that we compete with in Europe, Sika. When you look at the traditional GCI business there is a couple here in the States. GCE is one and then throughout Europe we’ve got a pretty big competitor in Norway, Fazer Technique [ph]. The majority of these companies concentrate on multiple lining systems and don’t necessary specialize in the function of geosynthetic clay liners and that’s the advantage of our – our technology is to meet that challenge in demand. But overall we seem to have a lager portfolio in the market places with water proofing and specialty containment that may only be singular when we look at our competition. 
Rosemarie Morbelli: Okay, thank you. And just quickly, is CapEx about – if I heard you properly Doug, $89 million to $95 million for 2015. What are your expectations for 2016? 
Doug Dietrich: It’s going to be about the same level, really driven by – we built three satellites. It’s really driven by Paper PCC growth at least this year in China. We have three satellites coming on next year in China of similar size. So it should be around the same level Rosemarie. 
Rosemarie Morbelli: Okay, thank you very much. Good luck.
Joe Muscari: Thank you.
Operator: [Operator Instructions]. Our next question comes from Al Kaschalk from Wedbush Securities. Please go ahead. 
Al Kaschalk: Good morning everybody. 
Joe Muscari: Hi Al. 
Al Kaschalk: Joe, it wasn’t clear, but it sounds like people want you to do some M&A, is that fair? 
Joe Muscari: You think so. 
Al Kaschalk: On a more serious note or more questions that I have, could you just talk maybe about whether given the multiples would come off a little bit, does that change or accelerate or maybe I should use the word, increase the intensity of what you look at transactions. 
Joe Muscari: I think what allows – I mean a couple of things are allowing us, are enabling us to increase the – let’s say the intensity of how we are looking at it. One is the fact that we were able to integrate, integrate and achieve our synergies faster than we originally targeted, number one. Two, that we’ve been able to pay our debt down quite aggressively, right, to better position ourselves going forward. And when you put those together in terms of the company’s ability to actually buy something, let’s say a reasonable size and also do a good job in the integration relative to what’s involved in the – given the magnitude of the acquisition we just did and many people involved in this, it took a tremendous amount of coordination. So it’s now being ready as I mentioned moving towards the end of that integration phase, that also enables us to actually bring more companies in, so that by itself. And given that there were more opportunities brought to us by the acquisition of AMCOL has opened up more. The bentonite arena or related to bentonite from the mineral standpoint in terms of end markets. That consumer market, which as you recall is an area, although you may not have been involved with this, there are others on the call who know that we were focused on increasing our profile in the consumer products arena and so that area still has opportunities from an acquisition standpoint. That’s why I used the term companies with specific end markets that they are participating in and that also plays a part into how fast we move on some things as opportunities are developed on a going forward basis. Does that help?
Al Kaschalk: Yes. No, it does. Just as a follow-on to that, given the sort of six quarters or five quarters since AMCOL and then as you take a step back, one of the tenants, at least on our constructive view on what you did was the potential commercialization of some new opportunities. So could you give us maybe just an update from your standpoint; the new product pipeline or internal development of product and the commercial ramp on the near term?
Joe Muscari: Yes, I’d say in general this is still somewhat relatively early, but if we think about the combined company rate of product development and that clearly through the direction of the technology lead team, I’d say that the total pipeline of the company is moving at a faster rate. If we’re talking about the opportunities that have been developed because the two companies have been put together, I’d say that also now is an area where we have a number of project areas that are advancing and I’m going to let John Hastings kind of walk us through that. John.
John Hastings: Hi Al.
Al Kaschalk: Good morning John.
John Hastings: A couple of things to point out. As Joe highlighted and we’ve talked before, we’ve had the innovation retreats. These have been designed to bring our technical and our commercial teams together, focused on specific opportunities where we see the combined technologies could actually provide some value in the marketplace and we’ve had some of them now. We have had some introductions with products. The first one we highlighted previously was in the adhesives and sealants. We had a product called Calafort [ph] that has been introduced in Europe. We are on pace to sell about $1 million to $1.5 million this year. We’ve also introduced some new products in pet care. So not only with the light weight litter that Gary highlighted earlier, but we’ve also introduced some products that are blends of bentonite and also calcium carbonate and we’re on pace to sell about $10 million to $15 million within the impact of probably about $1 million to $2 million bottom line. So again, we continue to expand the portfolio of opportunities. Just in the past few years we’ve highlighted and we’ve commercialized more than 80 products with an impact greater than $300 million potential revenue. We’ve got another 90 plus products in the pipeline in various stages of our stage gate development program. So a couple of different thoughts for you there regarding the performance, its very robust and we think as we continue to accelerate for commercialization, we’ll have more impact going forward.
Al Kaschalk: That’s very helpful. My final question if I may. I noticed on the performance materials slide that or at least in the report that operating income slid from Q2 to Q3. From what I recall, that business or that’s probably an abnormality and if you look back into ’13 it’s certainly the case and certainly in ’14. Can you maybe articulate what the – I know its only $3 million sequential decline, but from a business standpoint maybe what am I missing and what is in that analysis.
Joe Muscari: I don’t think you’re missing anything significant Al. I think one of the difference between Q2 and Q3 were two things. One, as I mentioned, just the agricultural sector in the U.S. has been pretty weak. We’ve also seen some of the oil and gas – foundry products of oil and gas and I think particularly into the transportation and rail has also been -- had some impact. And then we had in August really over – the third quarter in China was lower, but that was really due to a really slow August and then sales came back in September, but there were a lot of outages in China. So I think that we kind of saw that coming. So I indicated on the last call that operating income will be a little bit lower in the third and those are the main factors that contributed to it. But again, we still see a pretty healthy business here in North America and we’ve mentioned our comments on China going forward. Gary, do you want to add anything to that?
GaryCastagna: Just Al that even in North America the metal casting business you saw that – if you look at it sequentially and what you are maybe referring to in the past, I think we had probably a bit more of a July slowdown than what we normally see from the automotive related foundries as well, which then picked up more towards the end of the quarter. But the bigger point there like Doug mentioned is, China definitely is seeing some headwinds and that’s also improved as the quarter has gone along and not detracted at all from our strategy there. But at the end of it all we have a bit of a lower sales in the third quarter than we had in the past and as well the markets and the basic minerals, drilling products particularly also have been a slowdown there as well.
Al Kaschalk: Thank you for the color.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Rick Honey for any further closing remarks.
Rick Honey: This concludes today’s call and we thank you for your interest in Minerals Technologies and have a good day. Thank you.
Joe Muscari: Thank you.